Operator: (Operator Instructions) It is now my pleasure to turn the call over to your host, Ethan Caldwell.
Ethan Caldwell: Welcome to Marchex’s business update and first quarter 2008 conference call. Joining us today are: Russell Horowitz, Chairman and Chief Executive Officer; John Keister, President and Chief Operating Officer; Michael Arends, Chief Financial Officer; Peter Christothoulou, Chief Strategy Officer; and Cameron Ferroni, Chief Technology Officer. During the course of this conference call we will make forward-looking statements that involve substantial risks and uncertainties. All statements other than statements of historical facts included on this call regarding our strategy, future operations, future financial position, future revenues, acquisitions, projected costs, prospects, and plans and objectives of management are forward-looking statements. We may not actually achieve the plans, intentions or expectations disclosed in our forward-looking statements and you should not place undue reliance on our forward-looking statements. Actual results or events could differ materially from the plans, intentions and expectations disclosed in the forward-looking statements we make. There are a number of important factors that could cause Marchex's actual results to differ materially from those indicated by such forward-looking statements as are described in the Risk Factors section of our most recent periodic report and registration statement filed with the Securities and Exchange Commission. All of the information provided on the conference call is as of today’s date and we undertake no duty to update the information provided herein. During the course of this conference call we will also reference certain non-GAAP measures of financial performance and liquidity, including OIBA, Adjusted OIBA, Adjusted EBITDA and Adjusted non-GAAP EPS. A reconciliation of these non-GAAP measures to the comparable GAAP financial measures is contained in today’s earnings press release which is available on the Investor Relations section of our website, and definitions of these measures as used by us and the reasons why we believe these measures provide useful information are also contained in today’s earnings press release. At this time I would like to turn the call over to Russell Horowitz, our Chairman and Chief Executive Officer.
Russell C. Horowitz: I will start with an update on Marchex’s progress in achieving leadership in the local online industry and how our continued execution of our local mission drove our first quarter results. John will then discuss our operational progress, then Mike will take you through our first quarter financial performance. As usual, I’ll conclude with a few key take-aways before opening up the call for questions. Our focus on our local mission and the continued progress we have made on the strategic objectives I have highlighted in previous calls led to good first quarter results. As a reminder, Marchex’s primary objectives are first, to operate the industry’s most local-centric advertising platform at scale, which means providing both click- and call-based solutions, that can score hundreds of thousands and even millions of local advertisers, and second, to deliver an unparalled local search experience that provides the highest utility and relevance to tens of millions of local consumers. We are focused on these objectives because we believe that local is in the early stages of becoming one of the most valuable online opportunities and that it will be one of the primary drivers of overall growth in the search market in the coming years. The Internet is increasingly a primary source of local information for consumers and as a result, local advertising dollars are continuing to shift online. We believe in key third-party studies support that the time to capitalize on the local opportunity is now. According to comScore the number of monthly local searches grew 51% from January 2007 to December 2007, while all other searches only grew at 15%. To capitalize on this opportunity, both horizontally and vertically focused aggregators of local advertisers are transitioning their sales forces to support performance-based advertising products, specifically click- and call-based solutions. In addition, national advertisers, which we estimate represent about 2/3 of local advertising spending, are starting to accelerate their shift of ad budgets into local campaigns to target these locally focused consumers. As we’ve said before, the companies that will win the lion’s share of the local opportunity will be those that offer the most innovative, local-centric approaches to both drive local advertiser adoption and address consumers’ local information needs. This includes being able to support everyone from the smallest dry cleaner in the smallest town to the Fortune 50 company targeting campaigns in local markets across the country. We believe Marchex is currently the one and only company in the online industry that is participating at scale in local in all three of the following areas: first, as an advertising services provider for local small- and medium-sized businesses; second, as an advertising services provider for national advertisers with local interests; and third, as a large-scale local traffic owner. Additionally, we believe we’re only one of the small group of companies who can leverage direct advertising relationships to monetize direct consumer traffic at scale. As such, we are highly relevant to both advertisers and consumers and are uniquely positioned to be a primary beneficiary of the online local growth opportunity. With that backdrop, I will turn to our first quarter results. The investments we have been making in the local opportunity, in products, people, partnerships, and infrastructure, continued to drive good results in the first quarter. In the first quarter we experienced accelerating growth in new local advertisers, adding more than 10,000 new advertisers to our direct sales channel and aggregated partnerships. The number of local advertisers and national advertisers with local interest using Marchex’s products and services is now more than 65,000. Based on this accelerated progress we are ahead of pace to exceed our previously stated goal of more than 80,000 local advertisers by the end of 2009. As a result, we’re updating this goal and we now anticipate that we will have more than 100,000 local advertisers by the end of 2009. In addition to fueling our adviser growth, the investments we have been making in our local advertising platform enabled us to add to our base more than 100 aggregated partnerships and expand our relationship with a number of companies. For example, we entered into a new agreement with the Cobalt Group, who is a provider of marketing services to more than 40% of the auto dealers in North America. Under our expanded partnership Cobalt is using Marchex’s call tracking and call-based products and services to enable their auto dealerships across the country to measure the effectiveness of their online and offline advertising campaigns and place call-based advertisements across several search engines and websites. We think this relationship between Marchex and the Cobalt Group is representative of the kinds of partnerships that will drive local online leadership and we expect Marchex will continue to enter into partnerships with leaders in other relevant verticals. We are focused on expanding our local services channel to all channels, whether they are online, offline, or mobile. As such, we have entered into agreements with leading mobile advertising providers, including AdMob and forinfo, to provide call-tracking products and services that will better help them monetize their mobile advertising networks. Our call-based advertising products and services give Marchex’s advertising platform a strategic and competitive advantage that will continue to become increasingly valuable as local advertisers come online and the demand for call tracking and call-based advertising grows. We believe this demand will continue to grow because local advertisers want qualified leads and in the local world, qualified leads are largely measured by how many times the phone rings. We believe the momentum we are seeing in Marchex’s local aggregator and direct relationship channels will support continued growth in the number of advertisers using Marchex’s products and services throughout 2008 and beyond. The online business continues to be a principle growth driver for many of our aggregated partners, including AT&T, Idearc Media, and the Cobalt Group. Given these companies’ success in the local channels and the growing importance of the Internet as a consumer tool for local business information, we believe these companies will continue to invest in performance-based click and call products as a means to drive higher growth in their businesses. We will now turn to the proprietary traffic side of our business where we experienced strong growth. In March more than 30 million unique users visited our local search network, up from 26 million in December of 2007. As in the fourth quarter of 2007, the growth was particularly strong on our local reference websites, which are those sites in our network that help consumers find local businesses and services, including OpenList.com, yellow.com, and targeted geo-vertical sites such as ChicagoDoctors.com. In addition to the strong overall traffic growth, we saw increases in repeat visits to our sites and in page view growth as consumers increasingly engage with the content we provide while also performing subsequent local searches. Community-based consumer and merchant engagement on our local search network also grew significantly in the first quarter. More than 25,000 local businesses utilized Marchtex’s tools over the last several months to confirm the accuracy of their business information on our network and to add content relevant to local consumers looking for the products and services they offer. In addition, visitors to our network added more than 145,000 reviews and ratings in the first quarter, nearly three times the number added in the fourth quarter. Our local search network now features more than eight million user-generated reviews and ratings, up from less than 1 million a year ago. We think those added directly by consumers visiting our sites in addition to those added with new content partnerships with several leading providers, including Citysearch and Yelp and top vertical providers such as Avo, Health Grade, and Restaurants.com. We now believe that we are among the top three local online resources when measured by depth and breadth of user reviews and expert reviews. Furthering our effort to deliver the most relevant local content to consumers and maximize monetization on our websites, we are continuing to invest in our local ad targeting capabilities and in building the industry’s largest local ad network with a proprietary local website that’s at the center. In the first quarter we entered into an advertiser agreement with Citysearch. As with Idearc, Citysearch is providing a significant number of targeted local ads from their advertisers for delivery across Marchex’s social search network via Marchex’s advertising platform. These ads will continue to help us more effectively monetize our websites with the most locally relevant ads, drive more revenue-generating events, and unlock more value from our network. The growth in organic traffic, consumer and merchant engagement, and demand from direct advertisers and local aggregators for proprietary local traffic are indicators of the progress we have made in executing on our strategy to build one of the deepest, broadest, and most relevant sources of local information on line. They are also evidence of our increasing leadership in the local space. To summarize, in the first quarter we made significant progress on our key strategic objectives, which furthered our position as a leader in the local market and fueled the key factors that contributed to our financial results, namely: continued strong growth in new advertisers; and growth in traffic on our proprietary websites. All of this was accomplished while we continued to invest significantly in our products, partnerships, and people. During the first quarter we also continued to be active with our stock repurchase program, which Mike will detail in a few minutes. Our commitment to our share repurchase program is a reflection of our commitment to the Marchex opportunity and our belief that our shares represent a compelling value in the market. With that, I would like to turn the call over to John.
John Keister: As our results indicate, in the first quarter we made substantial progress with the operational priorities for 2008 that I discussed in last quarter’s call. We are highly focused on the initiatives that will grow our local advertiser base and also capture additional dollars from existing advertisers. First, we are continuing to innovate with our local advertising platform to offer advertisers and local aggregators the broadest sweep of scaleable click- and call-based products and services in the market. We believe that we now have more local advertisers using Marchex products and services than any other independent, local platform provider. We are also among the top providers of local advertisers to both Google and Yahoo, given we include them as fulfillment options for our local advertisers and aggregators. As Russ touched on, our innovation with our local advertising platform enabled us to secure additional local aggregator partnerships and deepen existing relationships with key partners, such as the Cobalt Group. In looking more closely at the expanded relationship with Cobalt, it is particularly important to emphasize the scale required to successfully deploy call-tracking capabilities to the many thousands of auto dealers across the country. It requires the deployment of literally tens of thousands of trackable phone numbers which was a significant task and we believe one of the largest implementations of call tracking ever accomplished in our industry. It is because of the investment we have been making in our platform, and people, that we believe Marchex is arguably the only provider in the local space capable of delivering these services at this magnitude of scale while also delivering superior quality to our customers. This unique capability positions us well to secure additional large aggregators in other local verticals, in addition to large horizontal aggregators like AT&T, with the ability to scale in delivering both clicks and calls, as well as proprietary traffic, is a critical advantage for Marchex. Another critical advantage for Marchex is our ability to match our local advertisers with our proprietary local traffic and deliver the most relevant ad possible on our local search network. To that end, in the first quarter we released the first in a series of enhanced local ad-targeting capabilities and will deliver additional local targeting capabilities throughout the year. The goal of these product initiatives is to increase both relevance and monetization yields for Marchex. We are also on track to deliver in the third quarter a new performance-based local advertising product that integrates search-marketing packages with call tracking and analytics. The goal is to offer our [inaudible] a suite of products that address advertiser budgets of all sizes, large and small, and to offer detailed call-based reporting to compliment these products. Later this year we also anticipate that we will be doing the initial release of our Pay-Per-Phone-Call marketplace. Our second priority for this year is brand consolidation. In the next few months we will launch phase one of our brand consolidation which we will focus on brands in our local advertising services areas. The goal with brand consolidation is to make it easier for advertisers to utilize multiple Marchex products and services through a single media buy and a single Marchex point of contact, while also more focally lining up products and brands with Marchex. We know that this is a critical component for unlocking additional budget from national advertisers and agencies. Our third priority is to continue growing our local search network. As Russ indicated, we made significant progress with this in the first quarter by launching tools that enable local consumers and merchants to contribute content to our websites in a manner that enriches the utility and relevance of our local business information. Throughout the year we will build on the growth through a number of means and we will continue to open up additional advertising inventory for direct advertisers while also introducing new advertising units, such as call-based ads. Adding call-based units on our websites, which is one of our previously communicated priorities, will enable us to improve usability and relevance, diversify our advertising inventory, and improve our local search network’s monetization and yield capabilities. Perhaps most importantly, we know there is increasing demand for call-based advertising and we are committed to understanding the potential of our websites and delivering call-based advertising in terms of enhanced relevance and yield. To that end, in the first quarter we began testing category-based call advertising units on our websites that are performance-based, meaning the advertiser pays Marchex when a call to the merchant is completed. These tests are allowing us to determine the operational and technical requirements required to deploy call-based ads at scale through the integration of our Break Star system and our local advertising platform. We will continue to test call-based ads in the second quarter and believe that call-based ad units will be an important part of the monetization of our network by 2009 as traffic and usage on our network continues to grow and as these types of units become increasingly important to local advertisers. Moving forward we will continue to focus on the product and operational priorities that will: one, grow our advertiser base through direct sales channels with national advertisers targeting locally, and through adding both horizontally- and vertically-focused local advertiser aggregator partners; two, focus on cross selling our products to existing aggregator partners and deepening these relationships and; three, increase our local traffic while also providing additional leads to our local advertisers. I would like to now turn the call over to Mike to walk through our financial performance.
Michael Arends: We are faced with our first quarter results that several of the local initiatives that have been the source of our investment over the last year continue to impact growth favorably. Revenue for the first quarter was $37 million compared to $34.2 million in the first quarter of 2007. Revenue from proprietary traffic sources, also referred to as our local search network, was $14.7 million. Revenue from local advertising services was $23.2 million. In terms of our efforts to continue taking more of our own advertising inventory and making it only available to direct Marchex advertisers, we continue to make substantial progress. We have been very successful providing an increasing amount of the most relevant, highest converting traffic on our proprietary network to our direct advertisers, which also involves us in certain cases seeding the market as a first step to growing greater liquidity and monetization. This means that in certain cases we may sacrifice some monetization opportunity in the short term based on our own belief this will increase relevance and also grow both revenue and margin contribution over the longer term. A dynamic associated with these efforts that is important to understand is that if Marchex takes more of our own direct advertisers’ budgets and fulfills the expense on our proprietary websites, like with OpenList.com, more of these dollars are recognized as proprietary revenue rather than third-party advertising services revenue. As a result, the mixed shift between our sources of revenue may change quarter to quarter as we continue to sell more of our direct advertising inventory. The principle factors driving revenue growth in the first quarter were first, the growth in our revenue from proprietary drastic sources on a sequential basis, driven largely by strength in our local reference websites, which manifested itself in higher traffic and a meaningful increase in paid events relative to the fourth quarter of 2007. Similar to last quarter we continued to experience strong demand from aggregators of local advertisers and other partners for traffic from our local websites due to their quality and high conversion rates. Furthermore, continued product progress across our local websites, such as OpenList.com and yellow.com, are growing success in user retention and repeat traffic as well as strategic marketing initiatives, is helping to expand our local traffic footprint. Total unique visitors to a proprietary network of websites was more than 30 million for the month of March according to internal logs, which represents a 15% increase over the number of unique visitors in the month of December. For the quarter the number of revenue generating events and referrals on our local search network was more than 85 million, up from more than 50 million in the fourth quarter of 2007. The sequential increase in paid events was largely driven by one, an increase in traffic relative to the fourth quarter, driven by organic traction, increased repeat usage, and strategic marketing initiatives. Two, better execution in fulfilling against growing advertiser demand for our traffic, and three, expanding inventory on our sites as they increased the number of monetization opportunities, as well as introduced new ad types, like Pay-Per-Phone-Call. Additionally, in regards to monetization of our proprietary websites from third-party sources, during the quarter Marchex benefited from improved economic arrangements with third parties, however, we continued to be modestly impacted from the rates we received from these third party sources. Overall, we further reduced dependence on our largest third-party monetization sources, which is one of our short and long-term strategic priorities. The second driver for the quarter was growth in our local advertising services business on a year-over-year basis. Driven by the continued growth in the number of new local advertisers using Marchex products and services. On a sequential basis we saw seasonal decreases in budgets from advertisers versus the typically strong fourth quarter. In addition to expected seasonality we saw greater seasonal weakness with certain large advertisers who are more exposed to retail categories who we believe were impacted by macro economic conditions. These reductions were favorably offset by the growth in our small- and medium-sized local advertisers, which as we noted, grew in the first quarter by more than 10,000 local advertisers. As a reminder, we are highly focused on the priorities that we believe will lead to accelerating growth and operating leverage, including one, increased competitive bidding on our proprietary websites by adding thousands of new advertisers, which can drive rates higher over time, and two, launching new products and features to help unlock the value of our existing advertisers by improving the relevance of our local advertising targeting, and three, continuing to grow the traffic and usage on our local search network. In the first quarter we made progress with each of these initiatives. As we continue to execute on these initiatives throughout 2008, we expect each of these will help increase our traffic, the number of advertisers using our products, and enhance our ability to receive an increasing share of budget from advertisers using our products. Over time these drivers will help us close the gap between the rate we see from third parties and the rate we see from our direct advertisers, even though in the near term we expect our growth to be driven by our increases in traffic and the number of paid events which can drive yields higher. The cumulative effect of these changes will lead to a second order impact of stronger long-term growth in revenue from proprietary traffic sources. This will also provide Marchex the strategic benefit of greater defensibility and long-term profitability as we capture margin benefit from taking greater share of advertising dollars on our proprietary network. Total operating costs, excluding stock-based compensation and amortization of intangible assets for the first quarter of 2008 were $31.9 million compared to $26.6 million in the first quarter of 2007. In looking at the mix in operating costs for the first quarter, our service costs, excluding stock-based compensation, increased as a percentage of revenue on a year-over-year basis, largely due to the shift in revenue mix, which led to increases in distribution partner payments and our contemplated investments in increased personnel, contractors, and infrastructure. Excluding stock-based compensation expense, sales and marketing was 17% of revenue, which represents a decrease on a year-over-year basis. In the first quarter sales and marketing included some of our planned investment in Voice Star, much of which is sales- and marketing-related. We also one, increased sales and marketing-related hiring, two, increased marketing initiatives to acquire direct advertiser relationships, and three, increased marketing for our local websites as aggregator demand for traffic from this channel continues to be robust. We are continuing to work on increasing the return on investment on our marketing spend for our local websites as we add new, rich content and features to these sites. As our marketing execution improves on these sites, we may increase our marketing over time. In looking more broadly at operating costs, it is important to note that consistent with our message in the fourth quarter of 2007, in the first quarter of 2008 we made significant investments in our existing people and in growing our personnel as we move to aggressively build the necessary infrastructure to meet our growing pipeline of new partners and products. Our investments in our people and systems is critical to achieving Marchex’s opportunity in the local market. We believe this investment will support our growth initiatives throughout the course of this year and beyond. Other operating costs for the first quarter included additional investment and product development, increased technology infrastructure costs and additional professional fees including intellectual property initiatives. Adjusted operating income before amortization for the first quarter was $5.1 million. Adjusted EBITDA for the first quarter was $7.7 million. Adjusted operating income before amortization and adjusted EBITDA are two of the principle metrics we use to measure the progress of our business, liquidity, and our ability to generate cash. GAAP net loss applicable to common stockholders was $1.2 million, or $0.03 per diluted share for 2008. This compares to GAAP net income applicable to common stockholders of $548,000, or $0.01 per diluted share for the same period of 2007. Going forward our GAAP results may be impacted by a number of factors, including stock-based compensation charges, increased amortization costs associated with our acquisitions, other potential future acquisitions, and increased public company costs, which will also impact our adjusted operating before amortization and adjusted EBITDA results. Adjusted non-GAAP earnings per share, an estimate some Wall Street investors utilize as a supplemental measure of our operating progress, was $0.08 per share for the first quarter. Turning to the balance sheet, we had approximately $34.5 million cash on hand as of March 31, 2008. During the first quarter we used approximately $7.2 million to acquire approximately 786,000 shares of our outstanding Class B common stock, bringing our total shares acquired under our repurchase program to three million shares, or 7% of our common shares outstanding as part of our stock repurchase program. Importantly, we continued to generate significant cash flow from operations. Furthermore, based on continuing progress in our ongoing operational initiatives, we expect to continue to generate significant cash flow. We anticipate that we will use our cash principally to continue investing in our stock repurchase plan and in long-term growth initiatives, including product development, sales initiatives, and selected acquisition opportunities. I would now like to discuss our updated guidance for 2008, including guidance for the second quarter. Today we are increasing our 2008 guidance for revenue to $152 million or more. Even though we remain in investment mode, we continue to make meaningful progress both in the form of new partnerships and product initiatives. As a result, we expect the benefits of new revenue streams and greater scale across our business to manifest itself in accelerating growth, particularly in the back half of the year. While we continue to operate in an economic environment that has substantial uncertainty with regards to advertisers’ budgets, we believe our investment in local leadership will increasingly show that Marchex is in a position to grow faster and deliver increased operating leverage in the back half of 2008. For adjusted operating income before amortization for 2008 we are increasing our guidance to $22 million or more. For the year we are making a financial commitment to invest in and grow our business. We will also show an increasing operating leverage as we move through the year. Based on our current revenue mix and anticipated growth we continue to expect to see adjusted operating margins increase in the back half of 2008. For 2008 adjusted EBITDA we expect to add back approximately $9 million towards adjusted operating income before amortization and claim an adjusted EBITDA of $31 million or more for 2008. For color on the mix of operating costs throughout the year, as a reminder, our investment in Voice Star integration initiative included $5 million of investment in 2008, the majority of which is weighted to the first half of the year. Similarly, some of our investment in taking over greater control of our own advertising inventory, coupled with our investments and our local advertising platform, will begin to pay off as new products launch throughout the year. As these products launch, we expect our growth from existing and new revenue streams will lead to stronger growth in our overall business and increased operating leverage as we grow past the fixed-cost components of these initiatives. Our guidance for the second quarter of 2008 is for revenue to be approximately $37 million. For color on guidance for the second quarter of 2008, while we anticipate we will continue to increase new local advertisers adopting Marchex’s products and services, we do expect some seasonal impact from advertisers lowering budgets as we enter the summer months. Additionally, in the second quarter, we anticipate revenue from proprietary traffic sources will be similar to, or slightly higher than, the first quarter of 2008. We anticipate increases in consumer usage on our local search network with certain offsets from our ongoing initiatives to increase direct sales of advertising inventory. For the second quarter, we expect sales and marketing costs to be in the range of 17% to 19% of revenue, which factors in increased costs from our upcoming rebranding efforts and related activities. In the second quarter, we anticipate adjusted operating income before amortization of approximately $5 million and adjusted EBITDA of approximately $7.3 million. 2008 is off to a good start and we continue to make progress with our business. We look forward to updating you on our outlook as we move through the year. And with that I would like to turn the call back to Russ.
Russell C. Horowitz: Let me conclude by emphasizing a few key points. First, the local online opportunity is now. The investments we are making and the consistent progress we are achieving is helping to generate momentum in both the advertiser and traffic sides of our business. Second, by providing one of the most comprehensive and local-centric advertising platforms in the marketplace today, Marchex is, and will, continue to be a primary catapult for increasing the adoption of local online advertising by both small and medium sized local businesses and with national advertisers marketing locally. Third, on the local traffic side we are highly focused on growing traffic and usage on our websites and furthering the value of our traffic by taking over more of our advertising inventory while also implementing new monetization opportunities and formats that can drive yield higher. Lastly, by continuing to be laser-focused on Marchex’s local mission, and executing on our operational priorities throughout the year, we will show operating leverage on financial results and more diversified mix of revenue and even greater control over our own destiny as we move forward. At Marchex we have the ingredients of our own success and continue to bring together in an integrated fashion that will translate into increasing local leadership. With that, we’ll open up the call for questions.
Operator: (Operator Instructions) Your first question comes from Christa Quarles - Thomas Weisel Partners.
Christa Quarles - Thomas Weisel Partners: One quick question on the $85 million unique look-ups, I think you indicate it was due to yellow.com. Could you dissect the performance there a little bit further. Was there a particular categories within the local side that showed particular strength or particular partners that helped there? And then I’m just curious when you think the improved yields will start to manifest? Is that sort of a 3-year horizon, you’re obviously increasing the volume in some ways is a better near-term but I would just be curious there on the yields. And then the third question was just on the ad model on [inaudible], was that a competitive bid, who were you going against and what were the factors that led them to working with you specifically.
Russell C. Horowitz: As related to the new mobile partner announcement, if at any time we’re going in and talking to providers, there’s always competitors. One of the benefits we have with a lot of these partnerships is we’re really one of the only, if not only, companies that really delivers these solutions at scale and that’s obviously one of the key elements that any partner looks for, is our ability to support their growth. So in competitive situations like that we fare well. As it relates to the look ups, those are revenue-generating events. And when you look at what’s driving it, we notice specifically, you now, they’re business look-ups which is what our OpenList content engine supports and what yellow.com supports. It’s helping consumers find their way to find the businesses they need. And so we’re continuing to do a good job of that and we’re continuing to do a better job of fulfilling, which comes down to matching increased demand from local advertisers and aggregators with the growth in our traffic. So, those are key themes. Getting to your other questions, which is as we see the significant scaling in revenue-generating events, it’s a very affirmative trimetric in supporting us doing things increasingly right. And when you look at rates underlying it, you know, Google wrote the playbook where it’s not about RPC, it’s about yield. And we’re looking at that playbook and starting to play it pretty well. So, we’re looking at a trend where revenue-generating events are continuing to grow, and there will be a point at which we think rate turns, too, but in the meantime we are seeing yield improvements and we think that’s a favorable trend.
Christa Quarles - Thomas Weisel Partners: Hass [inaudible] been a contributor. I think you had indicated that economic arrangements from third parties improved in the quarter but yet you’re also trying to reduce your reliance there. But were they a decent year over your benefit?
Russell C. Horowitz: It wasn’t a factor. If you look at Yahoo, in Q4 of 2006 we disclosed them as 38% of our revenue. In Q4 of 2007 it was 21%. Clearly, one of the strategic focuses of the company has been to really take ownership of monetizing our traffic. And obviously work with partners where it makes sense, and they’re an important partner. So what’s driving our growth and opportunity is really us taking more control of both sides of the whole local eco system.
Operator: Your next question comes from James Leahy - Morgan Joseph & Co., Inc.
James Leahy - Morgan Joseph & Co., Inc.: Could you give us more color on who out there or what verticals are the ones that are maybe lowering their ad budgets at this point. Second, is your guidance implying that the back half, or maybe the fourth quarter, is really where the strength is going to be in 2008 versus maybe in the third quarter. And finally, what’s out there left on your current buy-back authorization?
Michael Arends: There’s about two million shares available still under our stock repurchase program. A little over two million shares as of March 31. And in terms of the second question you had with the guidance, we do expect to see throughout the last half of the year, which includes the third quarter, an increase in revenue growth as well as operating leverage.
Russell C. Horowitz: In terms of verticals, we’re in an environment where some are stronger, some are weaker, you know, we noted kind of retail categories are seasonally weaker than usual. That’s not a big focus for us. Because our growth is really being driven by local. But they are players in our marketplace. That’s a trend we say. And there’s other categories like finance, etc. that some folks have noted being weaker. But in the context of what’s driving Marchex, these aren’t defining so they’re not worth highlighting.
Operator: Your next question comes from Matt Hewitt.
Matt Hewitt: Just looking at the Voice Star, you’re still early in the investment phase but just trying to get a sense for when you expect to start to see revenue contribution there. I think earlier you mentioned it was fiscal year 2009. But will we see some contribution here, maybe in the back half of the year?
Russell C. Horowitz: One of the key elements we find with our partnerships is people want integrated solutions and in many cases involving click- and call-based elements and so having the Voice Star product in the suite of products and services we can offer to aggregators, you know, it’s more than one plus one equals two. And so Voice Star, with the ability to support call-based products, is having a greater than one-for-one impact on our overall business given that we are a highly credible company with significant resources that can provide a unique set of services to both horizontally and vertically focused local aggregators. So, it’s contributing right now and it’s going to be a key driver of what we’re looking for in terms of growth. Clicks and calls are increasingly sold as a package deal. And that’s going to be one of the trends you see unfold over the next 12 to 24 months.
Operator: Your next question comes from Sameet Sinha - JMP Securities.
Sameet Sinha - JMP Securities : Can you elaborate on your content strategy and Bill Day has been there for a few quarters now and you signed some new deals. Can you give us some insight into what significant content you expect to some from [inaudible]. And my second question is can you talk about the dynamics in the local S&B market, specifically contract relations, cancellation terms, notice fee, etc. And how are these sold? I understand they are sold as [inaudible] and are these [inaudible] nature as well?
Russell C. Horowitz: To answer your second question first, yes, we’ve got partners who sell these products in a variety of different ways. But one of the things we like about with the small- and medium-sized business market is a lot of these packages are sold over 12+ month packages and it can build a nice recurring visible revenue stream. And so we think that’s a big opportunity. But they’re sold under a variety of different package formats and we have the flexibility to support any of them. As it relates to our content initiatives, we really focus on two themes. When you look at local search in our consumer-facing initiative and local advertising in our merchant-based facing initiative. With merchants and our aggregated partners it’s about transparency. We want to deliver all the products they need and that give them the transparency to really understand what they’re getting for what they spend. On the consumer side, there’s really no shortage of information. It’s about organizing it in a manner and delivering it to consumers where you reduce the noise for them. And so our initiative is looking at this next generational local search platform and syndication engine is organizing this information in a manner that really reduces the noise for consumers in finding the business information they need.
Operator: Your last question comes from Melinda Diaz.
Melinda Diaz: Could you give us an idea of how headcount has changed this quarter versus a year ago? Also, I didn’t see a CapEx number. And then, also, to follow up on the question about categories, can you talk about categories that might be driving local searches? And then lastly, on brands consolidation initiative, could you explain a little what’s involved in phase one and how you expect it to progress?
Russell C. Horowitz: On headcount we started the year with about 310 employees. Internally I believe we’re about just over 340. So we’ve added significantly to our resources as part of the growth that we anticipate. From what we see sitting here in early May it’s been very much the right thing to do. So that’s been a key part of what we’re doing.
Michael Arends: CapEx was $900,000 for Q1 2008.
Russell C. Horowitz: And as it relates to local categories, a lot of the ones you would expect, whether you’re talking about real estate, doctors, lawyers, dentists, insurance agents. You know, if you open up the yellow pages and look at your headers, these are the categories that people are selling into. On brand consolidation, we have enhanced as a Pay-Per-Click service, we’ve got industry brands as a contextual provider. Those are key parts of phase one. Then on the integrated product side, they can support advertisers with PPC contextual as well as network and site-specific buys. We appreciate everybody participating in today’s call. We’re glad to update you on the progress that we’ve made so far this year and look forward to continuing as we move through the year in 2008. Thanks, again.